Operator: Welcome to the AMC Networks’ First Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Nick Seibert, Vice President, Corporate Development and Investor Relations. Please go ahead.
Nick Seibert: Thank you. Good morning and welcome to the AMC Networks first quarter 2022 earnings conference call. Joining us this morning are Matt Blank, Interim Chief Executive Officer; and Chris Spade, Chief Operating Officer and Chief Financial Officer. Today’s press release is available on our website at amcnetworks.com. We will begin with prepared remarks and then we will open the call for questions. I would like to remind everyone that today’s call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks SEC filings for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements made on this call. Today, we will discuss certain non-GAAP financial measures. The required definitions and reconciliations can be found at the end of today’s press release. With that, I would like to turn the call over to Matt. Matt?
Matt Blank: Thanks, Nick, and good morning, everyone. Thanks for joining us. AMC Networks’ first quarter marked a solid start to 2022, highlighted by total company revenue growth, strong gains in streaming revenue and subscribers and continued momentum for our strong content slate across our portfolio of super-fan brands. And the last few weeks and months have shown anything, it’s that anyone trying to build a streaming business can’t forget about the business part. These practical considerations have always been our focus, as we have moved into this space, and we continue to make significant headway on our differentiated strategy of offering streaming services that appeal to targeted audiences with specific affinities and passions. Our approach is considered, curated and cost efficient and is a distinctly different strategy than others aiming to offer something for everyone. In contrast, our goal is to offer, as we have said before, everything to someone. And the strategy is working. I’m pleased to report that we’ve achieved a Q1 streaming subscriber target we laid out on our last call, adding more than 430,000 new subscribers in the first quarter in aggregate across our portfolio, and ending the quarter with 9.5 million total paying subscribers. Coming off our strong first quarter, we are reaffirming our full year 2022 financial outlook. And with our content cost advantages, our continued ability to super serve audiences and fans with deep content offerings and our clear focus on profitability by virtue of our unique strategy, we feel better than ever about reiterating our previously communicated target of achieving between 20 million and 25 million streaming subscribers in 2025. And as we discussed on our last call, we expect we’ll be halfway towards that target by the end of 2022. We continue to excel at what we do best, creating excellent premium content and building strong, powerful brands while simultaneously maximizing our existing linear and ad-supported digital businesses in no small part due to our pioneering efforts in advanced advertising. The most recent example of how our strong content is driving success across all of our platforms is Better Call Saul, which returned last month for the start of its sixth and final season. The debut was a record for us, driving the most new subscribers of any premier in the history of AMC+, along with remarkable social buzz and engagement, which we see continuing through the run of final episode that extends across the next several months. We also saw solid linear ratings, and our strength in linear continues to be a powerful promotional platform enhancing our ability to grow streaming subscribers and optimize results across our business. Since the start of the year, we’ve made real progress in several areas of our streaming business. First, our unique targeted approach continues to provide us with several key advantages when it comes to attracting and to retaining subscribers. Subscribers come to our services because of the depth of content, a shared community of like-minded fans and our tailored and curated approach to programming. ALLBLK, for example, is programmed by a team that’s plugged into the Black creative community and immersed in this content. Our curators at Acorn know the particular types of mysteries and dramas that will resonate most with our subscribers. And as for Shudder, it’s firmly established itself as the premier streaming destination for horror and continues to be a terrific success story. Shudder had a particularly strong first quarter of growth, fueled in part by an expanding slate of Shudder originals as well as a deep library ranging from crowd pleasers to hidden gems, a content offering that hard fans can’t get enough of. We continue to see strong consumer loyalty to our services and churn improvements across our streaming portfolio. Our focus on offering a targeted experience to our respective subscriber bases provides us with the opportunity to create high viewer engagement around the shows and the movies we deliver. Two recent examples from Acorn TV, a new series called Chelsea Detective that premiered in February and has garnered our biggest total audience of any Acorn series in 2022. And last month, a new series called Harry Wild starring Jane Seymour, generated the most streams in the first 30 days of any premier so far this year. We have talked before about our comparative level of content spend across our targeted streaming services. And obviously, this is an area that’s gotten some recent attention broadly across the industry. It’s worth noting that the most popular titles across our four most established and targeted streaming services, Acorn TV, Shudder, Sundance Now and ALLBLK typically cost less than $1 million per episode and sometimes substantially less than that. In fact, our annual content amortization last year across our targeted services combined is less than the cost of one season of some of the bold-faced and heavily promoted titles produced by the larger streamers. Just a remarkable and unappreciated level efficiency in our targeted content spend. In fact, since this time last year across all of our streaming services, we’ve added over 1,500 hours of new content and we ended the quarter with over 12,000 hours of content for our subscribers to enjoy. Global expansion of our streaming services is another area where we’re steadily making progress. And we’re just beginning to scale as we bring our services, including AMC+ to the international markets. In order to manage our growth overseas, we’re initially working with strategic partners, whether that’s traditional distributors of our own international channel portfolio or digital distributors, such as Apple TV Channels and Amazon. We have just begun to opportunistically roll out our services in key markets, including the UK, Australia and India. And we expect to add more overseas distribution in the coming months. There’s a tremendous global potential out there for us, and we see rich opportunities in the months and years ahead. Last quarter, we talked about our acquisition of leading anime content distributors, Sentai and its anime focused target service called HIDIVE. Over the past few months, we’ve moved quickly to onboard the Sentai team and incorporate them into the company. We’re now expanding this business on a number of fronts including developing a new free ad-supported HIDIVE branded streaming channel called HIDIVE x Anime. It’s still early days, but we like what we are seeing in terms of subscriber behavior and churn with HIDIVE and are more excited than ever about its future potential. So, lots of momentum for us in streaming. Our measured yet aggressive pursuit of subscribers and our demonstrated ability to meet or exceed our growth targets gives us great confidence in our differentiated model, particularly as we continue to reconstitute our revenue mix, as we remain focused on near-term profitability. The first quarter kicked off the biggest year of original programming in AMC Networks history. Our subscriber growth benefited from a string of key programming events, with two standouts being the final season of A Discovery of Witches in January, was streamed across AMC+, Shudder and Sundance Now, and then in February, AMC+ debuted the middle eight episodes and the expanded final season of The Walking Dead, which will complete a series run later this year. And we recently completed the fourth and final season of Killing Eve, which premiered in February and was the number two driver of engagement and acquisitions for AMC+ over the course of the season, second only to The Walking Dead. The series saw a steady week-over-week streaming growth across AMC+, with the finale delivering season high viewership. Last month, we premiered a gritty new crime drama with huge cultural relevance called 61st Street, which has been a strong performer on both our AMC+ and ALLBLK streaming platforms. Among all first season series launches on AMC+ to-date, 61st Street ranked as the number two most stream series in its premier week behind only Kevin Can Himself. On ALLBLK, 61st Street has been the number one acquisition driver with the top 3 most streamed episodes of television on the platform since premiering last month. And the programming momentum continues here into the second quarter. I mentioned earlier that the final season of Better Call Saul, which consists of 13 episodes split into two parts, with the second half of the final season premiering in July. In June, we’ll launch an exciting new crime drama from Robert Redford and George R. R. Martin called Dark Winds. Also on the way is the premier of a new Eutopian drama Moonhaven, starring Joe Manganiello, and Dominic Monaghan and we’ll have the return of the dark comedy, Kevin Can Himself starring Annie Murphy of Schitt’s Creek fame. Later this year, we’ll bring fans the final 8 episodes of The Walking Dead and then we will debut the first two series in our emerging and Anne Rice universe, which will be our next big franchise, Anne Rice’s Interview with the Vampire and Anne Rice’s Mayfair Witches. By the way, I’ve seen an early cut of the first episode of Interview with the Vampire and couldn’t be more excited. We think it’s going to blow people away with Mayfair Witches close behind. These are franchises we expect will pay off for years to come. And our pipeline is just as robust going forward into 2023 including a fantastic lineup of new shows and universe expansions. We have two new series set within The Walking Dead universe, focused on the popular and fan favorite Daryl, Negan and Maggie characters. A new series bringing viewers into the widely popular and grossing and award-winning world of Orphan Black as well as two new dramas, a psychological thriller called Invitation to a Bonfire and a dramatic comedy, Damascus. Also next year, we have two new series starring two names already beloved by AMC viewers, Bob Odenkirk and Giancarlo Esposito, who both established their iconic characters in Breaking Bad and continue, of course, in Better Call Saul. We recently greenlit a new drama, comedy from – starring Bob Odenkirk called Straight Man, adapted from a Richard Russo novel. And Giancarlo Esposito will start in a new drama called The Driver. We couldn’t be more thrilled to be keeping these two remarkable talents with AMC for their next big projects. We are also taking advantage of our film labels, IFC Films, IFC Midnight, RLJE Films as well as Shudder to reinvent the so-called Pay 1 window for our movie businesses and make new films exclusively available to AMC+ subscribers each Friday, 52 weeks a year. This initiative kicks off tomorrow with the streaming premier of a movie called Clean from IFC Films and starring Oscar winner Adrien Brody. We piloted this strategy late last year and saw a notable results in both viewership and subscriber acquisition. The combination of a weekly lineup of exclusive new films, coupled with our biggest year of original programming provides an incredible array of entertainment. We continue to expand our AMC+ offering with owned and controlled exclusive and carefully curated content as we serve and grow our audiences. Earlier, I touched on how we continue to optimize our streaming, digital and linear platforms. I wanted to expand on that for a moment. Streaming and linear can and should strongly complement each other, and I’ll point to our ALLBLK streaming service and our WE tv linear network as examples. WE tv has long been the number one cable network with Black women on Thursday nights. And we recently rebranded Thursday nights as ALLBLK on WE tv. We will increasingly share content across these two platforms and we are seeing strengthening on both platforms as a result. For example, after having three prior seasons of the hit ALLBLK series, A House Divided on WE tv, the fourth season premiered on ALLBLK in January and streaming viewership increased 84% with much of the growth coming from WE tv viewers who are new to ALLBLK. We saw similar growth with the most recent season of another ALLBLK series called Double Cross after prior seasons aired on WE tv. We have also seen churn decline to historic lows for ALLBLK, while at the same time, WE tv on Thursdays and Fridays is delivering double-digit rating gains from the previous year. So, overall, a demonstration of how we’re leveraging incremental content monetization opportunities and driving audience engagement across our streaming as well as our linear platforms. This is also the time of year for some of our most important conversations with our advertising partners. And we’ve never before entered an upfront with such a mix of meaningful strengths across our lineup of original content, the ability to offer advanced technology solutions that matter most to advertisers, and an expanding reach across a variety of platforms. To supplement advertising opportunities on our own linear and digital platforms, we continue to take advantage of our deep library of targeted content by redeploying it across our fast channels. When we first entered the AVOD and FAST space some 2 years ago, we did so with a very clear and a very deliberate platform-agnostic strategy of making our content available in as many places as possible so we can meet viewers wherever they were. That strategy has opened up a world of monetization opportunities for us. We currently have 8 FAST channels carried on 6 leading third-party platforms and are developing 6 new channels, including the HIDIVE ANIME channel I mentioned earlier. This has become an increasingly important element of our ad-supported content business, and we see tremendous potential for us going forward in a very hot and growing space. We’ve also made distinct progress growing our advanced advertising business and demonstrated our continued advertising innovation through our commitment to selling addressable ad spots in every hour of original programming this year on our AMC and WE tv networks with an addressable footprint of nearly 40 million homes. This is the most significant national addressable deployment in the history of television, and we’re thrilled Amazon was our first partner to jump on board with this opportunity. And this is just the beginning, as we work with our ad partners to usher in a new age of highly relevant and targeted advertising on television with brand safety, with control, with transparency and with enhanced returns for our advertising partners, and AMC Networks. So across our company, AMC is operating from a position of great strength. Our strong execution of our strategy produced solid results in the first quarter and is expected to lead to another strong year of revenue and subscriber growth right through our 2022 targets and beyond. Our differentiated streaming approach continues to provide us with meaningful advantage. We’re growing subscribers, we’re expanding internationally. And most importantly, we continue to create and find premium content and monetize it on a level we never have before, which is fueling growth across our company. We remain laser-focused on profitability and the economics of our streaming businesses and are already beginning to see the positive differentiation of our targeted approach. We see so much opportunity ahead to win subscriptions, entertain viewers and create meaningful long-term value. With that, I will turn the call over to Chris for more detail on our financial results. Thank you.
Chris Spade: Thank you, Matt and good morning everyone. Our year is off to a strong start with the continued growth of our streaming subscribers across all services and with growing monthly streaming subscribers and revenue, with our strongest programming slate still to come in the remainder of the year. We are focused on the growth of high-quality revenue-generating subscribers that have favorable lifetime profitability across all our services. Our first quarter performance is tracking strongly against our 2022 and long-term outlook. As such, today, we are reiterating our 2022 and long-term financial outlook. We continue to execute against our strategy of owning more IP, engaging our global audiences with strong content curation, growing profitable global streaming and digital businesses and optimizing our highly cash-generative linear business supported by our strong MVPD partnerships and leading advanced advertising initiatives. The targeted nature of our streaming offerings require a lower level of content spend across our services and the requirements of a general entertainment service. In our experience, our continued success depends on the right balance and mix of content and marketing investments, along with an efficient and high-quality technology stack to support stellar customer service for all of our super fans. We believe our communities are desirable, sustainable and offer tremendous value to subscribers, which is resonating and breaking through in our current crowded streaming market. Across our portfolio of streaming services, our cost per subscriber acquisition is significantly less than the expected lifetime revenue of the subscriber and is improving in efficiency over time. Combined with the lower cost of programming of our services, this ultimately results in a very profitable business. With subscriber engagement that is driven by our content depth, curation and sense of community we believe our subscribers are less price sensitive than others. We see this in our overall improving churn profile. Given these favorable dynamics, we believe that we have long-term strategic pricing power. As such, we have announced plans to launch $1 price increases on both Acorn and ALLBLK beginning this month. We are executing against our global growth opportunities in a disciplined and thoughtful manner. While it is still early days, we have launched certain of our streaming services in several countries over the past year, including the UK, Canada and Australia. Our experience to-date deep marketing expertise and existing international distribution and content relationships, combined with our unique ability to distinctly tailor our services to super serve our subscribers in specific individual markets allow us to deliver our subscribers a fulfilling and satisfying experience, all while achieving efficient subscriber acquisition and retention, thereby driving subscriber lifetime value and long-term profitability. While every new international launch will be different, we will generally partner with a local distributor during the initial launch phase. This strategy allows us to activate local markets quickly and thoughtfully while leveraging our local partner scale minimizing our investment risk and generating the greatest return to our shareholders. A timely example of this is our launch of AMC+ in India on Apple TV channels in March. Our product road maps include launches of AMC+ in Spain, New Zealand, Latin America and other European countries, all occurring mainly in the latter half of 2022 and into 2023. Additionally, we plan to continue expanding Acorn TV across Latin America in 2022 and 2023. With our multi-platform content monetization approach, we can prioritize investment in our streaming growth, extend our linear business and continue to innovate in advertising. As Matt mentioned, we recently announced the development of six new FAST channels, further expanding the audiences that our content and brands connect with. And we led a meaningful step forward in national addressable advertising as we now offer three addressable ad slots for every hour of original programming on our AMC and WE tv networks. Our innovations in addressable advertising allow us to maximize the yield of our available inventory by delivering effective data targeted campaigns across our linear VOD and digital distribution. The expansion of additional channels and distribution partners offers more scale and provides us with additional high-value digital inventory. When combined with our seamless programmatic first go-to-market approach, these leading advancements in advertising are helping to offset traditional rating headwinds and position us well into the future. Now let’s discuss our first quarter 2022 financial performance. Consolidated revenue increased 3% to $712 million, driven by streaming and advertising revenue growth. Consolidated adjusted operating income was $211 million reflecting a 30% margin and our anticipated higher investments in content and marketing to drive subscriber and revenue growth. Adjusted earnings per share, was $2.54. Domestic operations revenue increased 6% to $606 million as compared to the prior year. Distribution revenue and subscription revenue each grew 8%, driven by continued streaming growth. Streaming subscribers and streaming revenue increased 37% and 43%, respectively, versus the prior year. We ended the first quarter with approximately 9.5 million paid streaming subscribers, representing first quarter net streaming subscriber additions of 431,000. We are just beginning to see the benefits of our robust 2022 content slate materialize, partly in the form of beneficial subscriber retention performance as we have experienced an improvement in churn rates across our entire portfolio of streaming services as compared to the prior year. Affiliate revenue declined in the low single digits driven by subscriber universe declines and partly offset by contractual rate increases. Content licensing revenue of $61 million grew 9% as more original programs were distributed in the first quarter of 2022 and as compared to 2021. Domestic operations advertising revenue of $201 million grew 1%, driven by continued pricing and digital growth, partly offset by lower delivery. Domestic operations adjusted operating income decreased 10% to $219 million for the first quarter of 2022. Adjusted operating income performance was driven by continued investments in future top line revenue growth including programming and subscriber acquisition and retention marketing. International and other revenue for the first quarter of 2022 decreased 9% to $100 million. Excluding the impact of foreign currency translation, revenue would have decreased 7%. Distribution and other revenue decreased 12% to $87 million, reflecting a 5% impact due to variability of timing of productions at 25/7 Media as well as a 3% impact from unfavorable foreign exchange translation. Advertising revenue grew 4% on a year-on-year basis, driven by continued solid performance in the UK and partly offset by currency unfavorability. Excluding the impact of foreign exchange translation, advertising revenue grew 7%. International and other adjusted operating income was $23 million, representing a decrease of 2%. Adjusted operating income performance reflects the revenue dynamics I just discussed partly offset by ongoing favorable expense management. Moving to cash flow and the balance sheet. Free cash flow for the first quarter of 2022 represented an outflow of $37 million, primarily reflecting planned content and marketing investments, the timing of certain production tax credit receipts and technology investments. We remain on track to deliver approximately $100 million of free cash flow in 2022. We ended the first quarter with net debt and finance leases of approximately $2 billion. Our consolidated net leverage ratio was 2.6x, and we remain comfortable with our balance sheet and current leverage ratio. Our capital allocation policy remains unchanged. First, we will look to invest organically in projects that provide attractive returns to our shareholders. This includes return-based investments in the profitable growth of our streaming services and digital businesses. Second, we will maintain leverage that is appropriate for our business outlook. Third, disciplined and opportunistic strategic M&A. And fourth, opportunistic return of capital to our shareholders. There were no repurchases of AMC Networks common stock in the first quarter of 2022. We will continue to evaluate share repurchases on an opportunistic basis. As we look to the rest of this year and beyond, we see strong value potential from the unique advantages built into our differentiated model and the profitable streaming opportunities in front of us. We are highly focused on continuing to unlock this value as we reconstitute our revenue mix for the long-term growth. We remain on track to achieve our goal of 20 million to 25 million streaming subscribers by the end of 2025. And we continue to expect to be about halfway there by the end of this year. For the second quarter of 2022, we expect 400,000 to 500,000 net paid streaming subscriber additions, driven by our strong 2Q programming offerings. Regarding our financial outlook for the full year of 2022, we continue to anticipate total company revenue growth in the low single digits. Continued streaming subscriber growth is expected to drive subscription revenue growth partly offset by ongoing affiliate revenue trends from basic universe declines. Content licensing revenue is expected to decline over time as we utilize our exclusive content on our own streaming services, notwithstanding that, in 2022, we do expect some full year growth in content licensing revenue. It is important to note that given the timing of episodic deliveries and specific dynamics related to legacy licensing agreements, we expect the majority of our full year 2022 content licensing revenue will be recognized in the third and fourth quarters of 2022. For 2022, we continue to expect stable advertising revenue, driven by continued pricing and robust digital growth and innovation, partly offset by continued macro viewership trends. Full year 2022 operating expenses reflect the return of pandemic-related programming and concluding seasons of some of our more mature series, which typically costs more on an episodic basis. Once these shows conclude this year, it frees up additional programming capital that will be redeployed into new content are otherwise recaptured. Also, productions are still generally subject to COVID protocols. Over time, as protocols are no longer necessary, we will see these pandemic-related production costs come out, and we expect to recapture or repurpose these costs as well. We continue to invest in our streaming platform by investing in owned content, efficient marketing and technology. Additionally, we are investing in our international growth as we launch our streaming services in new markets and we have included certain nonrecurring start-up costs associated with entering these new markets in the outlook. In consideration of our global growth-driven investments as previously guided, we expect full year 2022 adjusted operating income to be about 10% lower than 2021. We are pleased with our current level of content investments across our services and our networks, representing the right content refresh cadence to continue to add new subscribers and keep the existing subscribers engaged, providing them with a healthy mix of new and library content to enjoy. We do not see the need to increase our content investment level from here dramatically, and we expect that future investment levels will be about the same as in 2022. As we continue to maintain our disciplined and curated approach toward content investments and our intense focus on unit economics and subscriber lifetime value optimization, we anticipate that the total longer-term company adjusted operating income margins will be in the mid to high 20% area. We expect our long-term free cash flow to return closer to pre-pandemic levels which will drive additional meaningful shareholder value creation over time. Our solid first quarter performance positions us well to achieve our full year 2022 goals and our long-term goal of 20 million to 25 million subscribers by 2025. With much of our robust new original content slate built to come in 2022, we are excited by the future growth opportunities we are seeing for our streaming and our digital businesses. Value creation remains at the forefront of everything that we do, and we will continue to build on our momentum with our targeted premium content curation strategy to super serve and engage our passionate fans and attract many more new fans along the way. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Thomas Yeh from Morgan Stanley. Your line is now open.
Thomas Yeh: Hi, thanks for my questions. First, can you provide some additional color on the incremental kind of advertising environment? What you’re seeing in terms of any broader impact from macro uncertainty or any verticals where you’re seeing strength or weakness that holds your view of stable revenues this year? And then as a follow-up, as you transition from some really high-profile final seasons of major shows to new IP like Anne Rice’s stuff, I was hoping you could dig into how you’ve been approaching your marketing efforts and a credit landscape. Matt, you spoke about efficiencies on content costs. And Chris, I think you talked also about attractive subscriber acquisition costs. How does the marketing approach differ relative to general entertainment? How do you think about the right level of investment there and how that shifts as you approach new shows relative to established ones? Thank you.
Matt Blank: Sure. I’ll start on that, and Chris can come in. But just generally on the advertising markets out there, we feel confident about delivering what we plan to deliver this year. As you know, there is certainly uncertainty out there in terms of worldwide politics, supply chain and all of those hangovers. But there is also ways that we’re growing that part of our revenue stream in terms of some of the advanced advertising applications, in terms of the FAST channels and just in terms generally of the types of things we’re trying to do with our advertising partners. So we remain confident there. Good question on the marketing front there. I think if anything, we have tremendous advantages in terms of the targeted nature of our services and what we are learning about our users over time. And our ability to market these shows more efficiently, spend more time building the brand marketing and specifically marketing behind the content along with the performance marketing that we’ve been doing in the streaming space. So I think it’s a work in progress for everybody as consumers become more embedded in streaming services. But again, I think it’s one of the benefits of having targeted services, knowing our consumers well. Marketing to really a curated slate of content is a lot easier than throwing a lot of marketing against the wall for a wide range of genres of content. So we’re feeling really good about our ability to launch these shows and have them drive both user – viewership of our channels, but also streaming connects.
Chris Spade: Hey, Thomas, it’s Chris. Just following up some more on the advertising question, I appreciate your questions. On the ad front, we’re really incredibly pleased with our solid ad revenue performance that we’re seeing this year, both domestically and internationally. Early on last year in the upfront that we’re in right now for the year, we did make the strategic decision to take on more upfront sales than usual because we were seeing incredibly strong pricing, and we had a high demand for our offerings. And that decision was incredibly successful in that we have less scatter inventory than we usually would right now. And from that standpoint, we’ve been able to leverage the strength of the advanced advertising marketplace to shift some dollars into digital and advanced advertising relative to categories that we’re seeing strength in its health, technology, financial, retail, entertainment areas. On the advanced advertising front, we’re also very proud of what we’ve been doing in pioneering there. We are a leader in the addressable space, and we’ve been the first to market national addressable ad campaigns across linear VOD and connected TVs. So we’re really excited about what we’re doing there. And with Amazon specifically, the three addressable ad slots that we’re putting out, they will run in the footprint served by Comcast, Charter, Cox and Vizio, and they will reach more than 35 million homes.
Thomas Yeh: Great, thank you. And if I could just squeeze one more on streaming ARPU, revenues grew a little bit slower than subscribers in the quarter. I know ARPU is a mixed bag with a lot under the hood and you just talked about some price increases at Acorn and ALLBLK, but can you share any details on kind of the mix of wholesale retail adoption, any promotional discounting that might be happening there? Thank you so much.
Chris Spade: Sure. Yes, it’s a great question. And I think it’s a question that really gets to the heart of the business is streaming in terms of what are we seeing with ARPU trends? What are our key metrics with lifetime value and our cost per acquisition, etcetera? So relative to ARPU, there is still going to be a lag between the revenue and the subs coming on with the sub month effect. But if you think about our cadence last year because in 2021, we had less of a content slate than what we would normally like driven by COVID delays. Now in 2022, we have a cadence that we like for programming, and we really have strong content. So we really don’t feel that we need to discount as much on the ARPU side. So our goal really is to drive future streaming profitability across all our services, lean into wherever we feel we do have pricing resilience. And it’s not necessarily about putting buckets of millions and millions of subs on for us. It’s really about making sure that we are connecting with that high revenue-generating subscriber that is going to be loyal to us and keep our churn rates in check. So we are excited about the modeling that we’re doing and we really feel strongly about the opportunities in front of us for growth to get to our targets.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael Morris from Guggenheim. Your line is now open.
Michael Morris: Thank you. Good morning guys. I have two questions about streaming again. The first one is on the contributors, if you will, I guess the streaming subscriber growth trajectory. At the sort of steady 400,000 to 500,000 net ad pace you are on, you are on track for the year. But certainly beyond the year, I don’t think it puts you on pace to reach your goals. And so my question is, there is – kind of when do you expect a little bit more tailwind? And is that – do you see that driven by the content cycle? Do you see it driven by the geographic expansion? I am curious the inputs there. And my second question on the topic of advertising is about the potential for an ad-supported tier for your streaming services. I think all of your services are ad-free at this point. What is your current thought on possibly also layering in an ad-supported tier at a different price point? Thanks.
Matt Blank: I will start out, Mike. Thank you. First, we have no current plans for an ad supported tier. But obviously, this is something we continue to monitor, continue to look at. We are very happy with the current offerings that we are making. If the business changes, we also think we have the ability to be very nimble and to adapt quickly. It’s funny when you hear one other large player have some problems in their sub growth all of a sudden, an ad tier is going to solve all problems. We don’t necessarily think that’s true, but we will monitor the market and we will see what happens. In terms of where we are in achieving our goals and the goals we put out there for 2025, we think we are absolutely still on schedule. There is still tremendous opportunity where we haven’t ramped up on the international front. We have new additions to our offerings like Sentai, where we are just beginning to roll out services. We have loads of new content coming this year and next year. We are in the process of refining how we market and what we are learning about marketing. And again, I think we see tremendous advantages in these targeted services. So, from our standpoint, we are right on schedule to make the subscriber streaming guidance of 2025.
Chris Spade: Mike, it’s Chris. Your question on the pacing, I think is right on. In fact, in our preparation, we are looking at all this. I said if I was an analyst, the number one question I would have is, how does the organic pacing reconcile with the long-term target, so I appreciate your diligence and looking at everything. But from the standpoint of the pacing, it’s really – the 400 million to 500 million is our organic pacing right now and it’s what we have visibility to and what we feel good about for the quarter. Going forward, we will have international expansion relative to new markets that we will be in that aren’t in our base right now. We also have HIDIVE, which we recently just purchased that we have significant opportunities for more growth there that’s really not in the pacing yet. And then we also have churn improvements and metric improvements that we are seeing. So, as we more and more have annual subscriptions do more bundling, we are going to see natural metrics improvement, and we are seeing it over time. The other thing I will say about AMC+ is that it really hasn’t been in the market that long, call it, 20 months or so. So, it’s a newer service relative to some of the other services that are out there. We have strong, strong content this year. We are really excited about Better Call Saul. I don’t know if you all are watching Better Call Saul, but it’s really a great show. And the way it’s coming together now is amazing to me. So, we have got the end of The Walking Dead coming up later this year. And then it all dovetails, as Matt said, into the Anne Rice franchise power and the early episodes of that IP looks stellar. So, the other piece that I will point out is we will have exclusivity with the Anne Rice content. So, more and more over the long term, our strategy is that we will get away from licensing. We have to honor our legacy deals, but we are going to get away from the licensing for IP that we own. And so the only place you will be able to see a lot of this IP on the longer term side will be on AMC+.
Michael Morris: Very helpful. Thank you both.
Operator: Thank you. Our next question comes from the line of Robert Fishman from MoffettNathanson. Your line is now open.
Robert Fishman: Thank you. So, as you are acutely aware and already alluded to, investors are now pretty focused on streaming margins. So, can you just help us frame the longer term margin target for your streaming platforms? And maybe if you are not willing to share any specific numbers, should we think about the streaming pivot for your company profitability by 25% given that streaming is going to be – you are expecting the largest revenue driver. Will it be incremental to profitability, or will streaming just help to offset the declines in linear?
Chris Spade: Hi Robert, it’s Chris. I think it’s a great question. A lot of the focus now in our business is really looking at the models and the profitability and how we grow from here and what does it look like. But for us, when we make a content investment, we are really looking at the holistic monetization cycle. So, we are making an investment in content, and then we are able to monetize and distribute it across all our platforms, which includes streaming window, linear international distribution licensing and wherever there is markets that we are not in a streaming position. So, we are in a place that as we build our revenue for streaming, that will continue to build and help go against the headwinds that we are seeing on the linear side, which we are going to continue to see basic declines. We are going to continue to see lower delivery on the ad revenue side, because I think, as Matt has spoken a lot about the acceleration of what COVID did to streaming. And so we are seeing that. But we feel very bullish on the future. And we feel that as the streaming momentum continues and the linear settles out that we have a good monetization engine that will deliver 20 – in the mid to high 20% margin for the long-term and that we will get back to a level of pre-pandemic cash flow. And the last piece of it really is the pricing power. I think what we are seeing in our streaming communities is that we have loyal fans and the more that we can super serve with the cadence of content that we have right now, they are loyal to us. They like the content, and that will be meaningful over time.
Robert Fishman: Okay. And if I could just add one quick follow-up. On the profitability and streaming, can you just discuss how you measure the ROI for specifically around the IFC Films decision, moving the Pay 1 window to AMC+? Like is that something that will help overall company profitability, or will that just help accelerate the AMC+ subscriber growth?
Chris Spade: Yes, sure. It’s a great question. So, relative to IFC Films, we have a gem there with IFC Films in my view. And what we are seeing on the streaming research side is that the fans are enjoying both the original series and the original movies. So, our research proved that original movies and original series along with other content that we have is driving the viewership and the engagement. So, when we looked at our window that needed to either be renewed or redistributed for IFC Films, we felt that it was really important that we locked in that first Pay 1 window and so we will be able to benefit from that window for AMC+ and our services and offer one movie a week starting this week, which Clean is the first movie coming out that stars Adrien Brody. So, over time, it doesn’t – relative to our profitability mix, that’s at a size and scale that it really doesn’t have a significant impact to driving or under-serving our ROI, but we do feel that the subscriber growth we will be able to get from offering the movies in our portfolio is powerful enough that it will support future growth for streaming.
Matt Blank: And just to reinforce that, one of the number one objectives here is to get compelling proprietary programming in front of our streaming potential audience and our current users. And that’s what we are doing here.
Chris Spade: Thank you, Robert.
Robert Fishman: Thank you.
Operator: Thank you. Our next question comes from the line of David Karnovsky from JPMorgan. Your line is now open.
David Karnovsky: Hi. Thank you. Matt, you walked through some of the ways your domestic linear networks can be leveraged to drive streaming engagement. Just wondering how you think about that dynamic applying internationally? Where do you think your channel footprint is kind of well-established and aligns with your streaming offerings that you can drive kind of awareness of your product as you launch them? Thanks.
Matt Blank: Thanks. Good question. Without identifying any potential markets, I think I would just say that – and it’s quite obvious about the international markets that every year go, it’s a different situation. So, we have territories where we already have a footprint. We have territories where it makes sense to partner with some of the larger platforms. And it’s a game time decision as we look at the market. There is tremendous opportunity out there for us. This is not a part of our business, that has been heavily developed historically. So, there is tremendous opportunity to scale there, and it requires a really custom approach on a market-by-market basis. And I think we are seeing that already, and we will see it more going forward. It is a real priority for us this year and going forward, there is a lot of opportunity for us out there, and we are going to take advantage of it.
Chris Spade: It’s a good question, David. The other thing I will say is that our international presence, we do have international presence, as you know, in much of Europe and Latin America. So, from that standpoint, having the boots on the ground is really helpful to have – already have partner relationships, etcetera, local content relationships. So, from that standpoint, it helps support and underpin our international expansion in those markets.
David Karnovsky: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Steven Cahall from Wells Fargo. Your line is now open.
Steven Cahall: Thanks. So, Matt and Chris, it sounds like you feel pretty confident in getting to your long-term guidance without necessarily needing to increase your content spend a lot. That’s definitely an outlier from your peers. And you have talked about some of the affinity that you get for content. I was wondering though if you could just talk a little bit about how you see that ramping up. I think what we see in a lot of the peers is that there is a first cohort of super fans who come in and then it plateaus. So, it seems like this is a domestic outlook, it would be tough to get there without increasing content spend. So, is the right way to think about this, that you are going to have a large percentage of those subs that come in on the international side?
Matt Blank: Let me just start there. It’s again, a very good question. I think rather than focus on spend, we like to focus on volume and new content that we are delivering. We know we can be more efficient on the spend side. And it’s a hard measurement at the moment because we have seen that you can spend $18 billion on content, and that doesn’t necessarily make you a better business. And our main focus here is on balancing the spend, balancing the amount of content we are offering. And again, one of the things that Chris mentioned earlier is as we produce a great deal of the most new content we have ever produced over the next year. A lot of that content is going to be more cost efficient to spend because where it is in the series lifestyle. We have a lot of series that are coming to an end where we are spending end of series episodic levels of cost. So, there is real efficiencies out there in terms of a lot of the things we are doing. And again, reinforce, particularly on the targeted networks and the targeted streams, we produce at a level that is far more efficient than anybody else out there. So, this is an area we are very focused on. It’s critical to the performance we deliver in the future, and we like our plan.
Chris Spade: I would also add that for each service, we do have deep long-term business plans that for each service, we look at the cadence of the refresh rate, what the level of investments for the content, combined with marketing strategy which needs to be a combination of acquisition and retention in terms of how we invest in our marketing. So, we are focused – highly focused on the user experience, what’s the refresh rate. And so at some point, when you just keep throwing money at content, it becomes a point of diminishing returns. I mean granted everybody would love to have 10 hits, we have a lot of hits, we are fortunate to have. But we constantly and closely look at what is the right refresh rate that we will hit the home run for the subscriber growth, have a high generating ARPU and work within our model of our boutique and targeted streaming services approach that, again, we are not trying to be everything to everybody. We are trying to be everything to someone.
Steven Cahall: Thanks for that. And then just on – as we think about ARPU, I was kind of getting to around $4 of streaming ARPU in the quarter. As we kind of try to project out revenue for a few years, should we expect just the blended ARPU to have some headwind to it just because your mix is going to be more international? You talked about India, I would think that’s a pretty low ARPU market. So, just mix shift, is that going to probably create some headwind to blended ARPU over time as you track towards the guidance?
Chris Spade: It’s a great question in terms of the cadence of the ARPU. From where we sit now, I don’t really want to get into specifics about we think it’s going to be x. But what I would say is that, again, I go back to what I said before, for 2021, we didn’t have the content slate at the right level that we wanted. So, now we have the right content slate. We have a healthy level of investment in marketing. You will see our marketing focus will start to shift more from acquisition to retention, which will be important. And then as we grow in international markets, we are at a place now where it’s important that we continue to grow and lean into the growth. So, when you really look at what’s the number one priority, it’s really about growing where we can in a meaningful way to get the highest ARPU generating subscriber that we can and really have profitability across the board for the long-term. And the playbook that we are working with now, it’s unique for each streaming service, but I really feel like we have momentum with that. And so I don’t really want to tie hands with giving narrow guidance on just one of the metrics. But fair to say that last year with the consistent discounting that we did, we want to try to get away from that and really focus on price resilience.
Steven Cahall: Thank you.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Nick Seibert for closing remarks.
Nick Seibert: Thank you for your interest in AMC Networks. And have a good day, everyone. This concludes the call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.